Operator: Thank you for joining the Packaging Corporation of America's Third Quarter 2013 Earnings Release Conference Call. Your host today will be Mr. Mark Kowlzan, Chief Executive Officer of PCA. Upon conclusion of his narrative, there will be a Q&A session. I would now like to turn the conference call over to Mr. Kowlzan, and please proceed when you are ready.
Mark W. Kowlzan: Good morning, and welcome to Packaging Corporation of America's third quarter earnings release conference call. I'm Mark Kowlzan, CEO of PCA; and with me on the call today is Paul Stecko, Executive Chairman of PCA; Tom Hassfurther, who runs our Corrugated business; and Rick West, PCA's Chief Financial Officer. Thanks for participating in this morning's call, and after the presentation, we'll be glad to take any questions. Yesterday, we reported third quarter net income of $84 million or $0.86 per share, which included an after-tax charge of $3 million or $0.03 per share for costs related to the announced Boise Inc. acquisition agreement, and a noncash after-tax charge of $2 million or $0.02 per share for pension plan changes related to the PCA hourly mill employees. We reported a similar charge in the second quarter which covered our hourly corrugated products plant employees. Excluding these charges, earnings were a record $89 million or $0.91 per share. This compares to third quarter 2012 net income, excluding special items of $53 million or $0.55 per share. Net sales were a record $845 million, up 17% from third quarter of 2012 net sales of $723 million. The $0.36 per share increase in earnings, excluding special items, was driven by higher containerboard and corrugated products prices and mix of $0.44, and higher corrugated products sales volume of $0.05. These items were partially offset by: higher costs for fiber of $0.03; labor, $0.03; incentive compensation, $0.03; energy, $0.02; transportation, $0.01; and chemicals, $0.01. Excluding special items, net income for the first 9 months of 2013 was a record $219 million or $2.25 per share compared to the net income for the first 9 months of 2012 of $142 million or $1.45 per share. Year-to-date net sales were $2.4 billion, up 14% from $2.1 billion in the first 3 quarters of 2012. In summary, we had an outstanding quarter in all aspects of operations, with record earnings driven by higher prices for containerboard and corrugated products, higher corrugated products volume and record mill production. We beat our guidance by $0.03 per share driven by better-than-expected volume and mix. Moving to the details of operations. Corrugated products shipments were up 7.8%, both in total and per workday, compared to last year's third quarter. We are particularly pleased with this performance because it was achieved completely on organic growth. That is, the year-over-year increase did not benefit from box plant acquisitions, since our last box plant was acquired in the first quarter of 2012. Corrugated products shipments were an all-time quarterly record on a shipments per-workday basis. Demand for both domestic and export containerboard remained strong through the quarter, but our ability to supply outside markets was limited. Because of higher containerboard consumption in our box plants, our outside containerboard shipments were down about 12,000 tons from last year's third quarter. The domestic sales were up 8,000 tons, while lower-priced export sales were down 20,000 tons. We ended the quarter with our containerboard inventories down about 4,000 tons below 2012 year-end levels. Our inventory level is rather tight considering October has 22 corrugated products shipping days compared to just 20 shipping days in September. Therefore, it's imperative that our mills continue to run well on October, which they have through the first 14 days of the month. Moving to mill production and performance. Our mills ran extremely well, producing 671,000 tons of containerboard, setting an all-time quarterly record. Our final 2013 annual mill maintenance outage is currently underway at our Filer City, Michigan corrugated medium mill, and I'm happy to report that it's progressing very well. The plan there is for a 5-day outage that will reduce production by about 7,000 tons. On the revenue side. Prices and mix were higher for both containerboard and corrugated products, improving earnings by $0.44 per share compared to last year's third quarter. This included, essentially, a full quarter's impact of the pass-through of our April $50 containerboard price increase to corrugated products. Wood cost were higher this quarter in the U.S. Southeast -- as the Southeast had more rain than the typical summer, making it tougher to get into some wood tracks that are normally accessible during summer months. The frequency of the wet weather, especially in July and August, resulted in wood cost increasing $0.02 per share compared to the third quarter of 2012. Recycled fiber costs were also higher than last year, decreasing earnings by about $0.01 per share as industry published prices for recycled fiber, excluding delivery costs, were up about $25 per ton compared to the third quarter of last year. With regard to cost, energy costs were up $0.02 per share compared to last year's third quarter, driven by increased prices paid for purchased fuels. Natural gas prices increased about $1 per meter squared Btu, and coal prices were up about $0.60 per meter squared Btu compared to prices paid last year during the third quarter. In addition, labor cost increased $0.03 per share, and incentive compensation, which are prorated to earnings per share, were $0.03 per share higher than last year with our increased earnings. Transportation cost increased $0.01 per share due, in part, to rail rate increases and a mix of outbound mill shipment destinations. I'm now going to turn it over to Rick West, our CFO, who will give you an update on our financial position.
Richard B. West: Thank you, Mark. In the third quarter, PCA generated cash from operations of $137 million. Capital expenditures during the quarter were $50 million. We paid our quarterly common stock dividend of approximately $39 million. Cash tax payments of $36 million were made, and the remaining fuel credits of $4 million were used to offset federal taxes during the quarter. We also elected to make a discretionary pension contribution of $30 million during the quarter, and at the end of September, our cash on hand was $397 million, up $27 million from the end of the second quarter. Our total long-term debt outstanding at the end of the quarter, excluding capital leases, was $782 million. And including cash on hand, our net debt was $385 million. As of September 30, 2013, our diluted shares outstanding were 97.5 million shares. As Mark mentioned earlier, during the third quarter, PCA recorded cost of $3 million, after tax, related to the announced Boise Inc. acquisition agreement. This charge included a $2 million charge for bridge financing fee, and $1 million for other acquisition-related costs. In addition, we recorded a $2 million after-tax charge which was related to a change in our hourly pension plan. We recently negotiated an agreement involving our 4 containerboard mills who will transition from a defined benefit plan to a defined contribution 401(k) plan. The pension charge is based on accounting guidance which requires us to accelerate the recognition of prior service pension costs for employees affected by this change. With that, I will turn it back over to Mark.
Mark W. Kowlzan: Thank you, Rick. Before discussing the fourth quarter, I'd like to give you a brief update on the Boise acquisition. We initiated our tender offer for all Boise shares on September 26, 2013, and this offer expires at midnight on October 24, 2013. If more than 50% of the Boise shares are tendered, the minimum tender condition is met, and we will expect to close on October 25, 2013. We have bridge financing in place and expect to complete the permanent bank and bond financing for the acquisition prior to close. For a variety of reasons, including that we must operate as separate businesses until the closing, we do not plan on taking any further questions about the acquisition until after the closing. Now moving ahead to the fourth quarter. We expect lower mill production with the planned annual outage at Filer City and increased mill operating cost. Corrugated products volume is expected to be lower, since the fourth quarter contains 2 less shipping days than the third quarter. We also expect seasonally higher fuel costs at the onset of colder weather, and higher amortization of annual outage repair cost. Considering these items, we expect fourth quarter earnings to be about $0.84 per share, excluding any impact from the Boise acquisition. This would put us at earnings per share of $3.09 for 2013, excluding special items, compared to $2.06 last year. With that, we'll be happy to entertain any questions, but I must remind you that some of the statements we've made on the call constituted forward-looking statements. The statements were based on current estimates, expectations and projections of the company and involve inherent risks and uncertainties, including the direction of the economy and those identified as risk factors in our annual report on Form 10-K on file with the SEC. Actual results could differ materially from those expressed in the forward-looking statements. With that, operator, I'd like to open the call for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Anthony Pettinari with Citi.
Anthony Pettinari - Citigroup Inc, Research Division: I was wondering if you could talk about how demand trended through the 3 months of the quarter, and how you're seeing it play out in October? And then also, you continue to grow faster than the industry. I'm wondering if you can give us any color in terms of what market segments or what customers maybe you're seeing the most strength with?
Mark W. Kowlzan: Yes. As we said in July, we started out the first 8 days or so up about 10%. But we trended down slightly, as we expected, but we didn't remain flat through the August, September period. So with our roll-up being very strong, we saw good, strong, consistent numbers.
Anthony Pettinari - Citigroup Inc, Research Division: And in early October?
Mark W. Kowlzan: For the first 8 days, again, that's a small sample considering the 23-day shipping month. We're up 4.4% on a shipments basis.
Anthony Pettinari - Citigroup Inc, Research Division: Great. And is there any segment or is there any customer base where your -- you think you're growing faster than the industry? Or can you talk generally about the kind of volume -- the volume outperformance that you've seen versus what we've seen industry-wide?
Mark W. Kowlzan: Consistently throughout the year, especially through the third quarter, we saw good activity throughout North America through our 71 plant footprint. So again, just good, consistent volume growth, year-over-year, throughout the system.
Anthony Pettinari - Citigroup Inc, Research Division: Okay. And maybe one last one. I don't know if Rick mentioned this, but could you give guidance for CapEx for the full year, x Boise? I don't know if there's an updated view from last quarter?
Richard B. West: Yes, Anthony, this is Rick. In terms of CapEx, we have a lot of CapEx spent normally in the fourth quarter. And we're still on plan for the $215 million estimate for 2013. Maybe around $205 million to $215 million, but it's going to be in that range.
Operator: Our next question comes from Mark Connelly with CLSA.
Mark W. Connelly - CLSA Limited, Research Division: Mark, just 2 things. I wonder if you could tell us, given how fiber stacked up the wrong way this quarter, what you're expecting relative to Q3 and Q4? And second, as you look at your inventories, it looks like you guys are running pretty successfully with lower inventories than you used to. Have you actually changed the way you're managing inventories? Because as I look at my inventory days, I see you're doing a lot better than you did a couple of years ago?
Mark W. Kowlzan: Well, on the first question on fiber. Again, with the wet weather we saw in the Southeast region, specifically back in Valdosta, the weather has subsided and gotten back to a normal pattern through September into October. So we're seeing things flatten out on the wood cost. Also, don't forget during the third quarter, typically, the Southern Mills system in particular, does go through their winter wood build. But we're seeing wood cost pretty flat right now throughout the Southern system. So again, we're not expecting any pressure.
Paul T. Stecko: And just to amplify on what Mark said, Mark, yes, we saw a bigger wood cost increase at Valdosta than, say, Counce, because Valdosta got hit more by the bad weather than Counce.
Mark W. Kowlzan: Yes, we had -- there was a 28-day period during the month of July that it rained 28 of the days during the month in the Valdosta region.
Paul T. Stecko: And with regard to inventory management, I'll just comment, yes, I think we're managing it the same. We might be a little more efficient. And as they say, necessity is the mother of invention. When you're running constantly at 100% at capacity, where we've been for the last 2, 2.5 years, you've got to really stay on top of your inventory. And so yes, maybe we're running it a little better than we have, but we haven't changed our philosophy or strategy in that regard.
Operator: Our next question comes from Chip Dillon with Vertical Research.
Chip A. Dillon - Vertical Research Partners, LLC: The question I had is on the whole price timing of the increase, if you can comment. On my rough numbers, it looks like your average realizations are pushing $100 above where they were a year ago, which is about what the board increase was. And -- however, we know at the box level, there can be some variations. So the question is, should we expect any more of the spring increase to bleed into the fourth quarter? Or was it fully reflected in the third quarter?
Mark W. Kowlzan: We reflected that fully in the third quarter. As we said on the second quarter call, we expected to complete that pass-through early in the quarter, and we did. And so we don't expect to see any more impact from that.
Paul T. Stecko: Yes, there may be a couple of days, Chip, but it's a miniscule, a small amount.
Chip A. Dillon - Vertical Research Partners, LLC: Got you. Okay. And then the second question is, we just got, I guess, the data for September, which seems to indicate that inventories seem to have come down a bit more than normal after the big jump in the summer. In your system, can you comment -- do you feel your inventories got -- it sounds like you don't feel they did, but did you sense, at any point, that they were above where you were comfortable? Or do you feel like they were always sort of within what your plan was?
Mark W. Kowlzan: No. Again, running at 100%, we had to anticipate the third quarter. But we're about where we want it to be. Understanding where our business was, and we are up about 6,000 tons compared to the second quarter because of the Filer planned outage, and having to supply such a big October.
Chip A. Dillon - Vertical Research Partners, LLC: Okay. And then, just a final question. When we look overseas, it seems like, in a very general sense -- and I know as you guys have become more integrated, you're not as active in the export markets. But it looks like you've seen some firming in places like Brazil, but you saw some sluggishness in Europe. And I didn't know if you had any late, recent color on how you see especially Europe in terms of kraft linerboard at this point?
Thomas A. Hassfurther: Chip, this is Tom. I'll just comment on that real quick. I think that, for the most part, we saw the lift in pricing throughout this year. And that's held reasonably stable. A little bit of sluggishness in Europe. But I don't see anything -- again, we're a fairly small player there, but with regard to our customers, we don't see any enormous slippage or anything like that.
Paul T. Stecko: Chip, we have more concerns about people wanting tons since we pulled them back in the export than price. So most that have been -- most of the discussions -- again, our exports business isn't real large. It's been more about the availability of tons we might add as opposed to the price.
Operator: Our next question comes from Mark Wilde of Deutsche Bank.
Mark Wilde - Deutsche Bank AG, Research Division: One, can we give any thoughts, Mark, on any pressure you guys might be seeing or might be anticipating from some of these pellet plants going in the south. I know that kind of southern and eastern Georgia seem to be getting more than their fair share.
Mark W. Kowlzan: Mark, over the last 3 years, we've seen the pellet plants come online and it's put a direct pressure on the basket, and much as we expected. So much of the cost escalation that we've seen in the last few years in the southeast was the pellet plant activity, along with some of the OSB plants that are coming on. But yes, there's been an impact from the pellet plants.
Paul T. Stecko: I think the other consideration here, Mark, is -- and Mark Kowlzan is right. We've seen some pressure, but it has not resulted in large price increases for wood, obviously. Our prices remained pretty stable. But long-term, I'm more and more optimistic because a lot of these pellets, as you know, are being exported to Europe. And the only thing that makes the economics work in that deal, because you're shipping a lot of water with that fiber, is the government subsidies over there. And we've seen countries like Spain have heavy subsidies for solar energy, et cetera, determining that the economics do not do good benefits to their balance of payments, their debt, et cetera. And so I think longer-term, as the world becomes a more competitive place, people are going to start questioning whether the subsidies that government are paying to support these woodchips are really worthwhile. So long term, I think that the jury is still out on how successful pellet plants will be.
Mark Wilde - Deutsche Bank AG, Research Division: Yes, it's a long distance to ship sort of low Btu-content fuel. The other question I had was for Tom Hassfurther, just back on the export markets briefly. Tom, just to confirm something that I think is the case. In the export markets, you guys skew more to Latin America and more to the heavyweight board, is that correct?
Thomas A. Hassfurther: That's correct.
Mark Wilde - Deutsche Bank AG, Research Division: Can you give us any kind of just general guideline about what percent of your exports might be Latin America over time?
Thomas A. Hassfurther: Well, I'm not going to get into those kinds of specifics, Mark. But I'll just say that when you get to that market, echoing what Paul said earlier, our big concern is finding the tons to be able to supply the customers that we have down there and the demand that we have down there. So that market remains quite good for us.
Operator: Our next question comes from Phil Gresh with JPMorgan.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: First question. With the demand trends you're seeing so far this month, any impact that you've noticed from the government shutdown?
Mark W. Kowlzan: No, I mean, it's hard to qualify that and quantify that. Again, with the 23-day month, and with the business up 4.4% for the first 8 days, we're pretty pleased with that. But we don't have any direct evidence of any impact to us, per se.
Paul T. Stecko: And just to amplify on that point, when you have a 23-day month, your best number -- and you want to compare it year-over-year, we had an extra day this October. Right? 1 extra day. And so that's going to add 5% to the number. And so you would expect a little lower per day shipment balanced by having 1 more day. No, I'm incorrect, it's the same number. No, I'm incorrect, it was last month. So it will be the same number of days. I stand corrected. Like Mark said, we're up 4.4%. We averaged 6%, up 7% or so last quarter. So we're a little bit behind that. What it's related to is -- October is a long month, 23 days. So we've got a very small sample size.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Got it. Okay. I know you guys didn't want to take any questions on Boise. Rick, you had mentioned on the last call that you might have some initial thoughts on the D&A and the step-ups and those types of things. So if you had a comment there, I was just curious if you had any info?
Paul T. Stecko: No comment on Boise.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Yes. Okay. And then with the integration ahead for you guys and with where your financial leverage is right now, to the extent other mill assets were to come for sale, would you think of yourselves as kind of being more focused on integrating the Boise acquisition and doing just kind of the box plant deals that you typically would do? Or -- and more likely nothing on the mill side or how would you think about your capacity to do more right now?
Richard B. West: That's a great question for next quarter's earnings call, and we'll be more than happy to answer it. But that's tied part and parcel to the Boise and, as Mark said, we're not going to comment on that until we're completed with it.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Fair enough. Last question, just on pension contributions, Rick, with these changes in the plants, are there any expectations that we should have about what that might mean for required contributions in the future?
Richard B. West: Long-term, less, but not aiming lower amounts in the short term.
Operator: Our next question comes from George Staphos with Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: A couple of questions. Maybe bigger picture. First of all, you've done a tremendous job over the last few years of raising margin in the business. Now do you have a view on what the horizon could be in terms of how much more margin improvement you can have, excluding the effect of pricing and obviously, excluding the effect of Boise within your business? And how important are the box plant investments in driving that margin improvement over time? And then, I had a follow-up.
Paul T. Stecko: Yes. I'll take that, George. Margins -- depends on a couple of things. Price and costs. And obviously, if your volume increases, you get to amortize overhead, over more tons, that reduces your cost. And so that and where price goes are the 2 biggest determinants of profitability. And we got a pretty good handle on where we think where volumes run and we don't speculate, ever, on forward pricing publicly. So that's about as good as I can do there. But the fact that we've added box plant capacity in markets where we were either sold out or getting close to that, again, has enabled us to put those tons through a box plant that most of the overhead was already absorbed. That's helped our margins. So this $200 million of money we've spent on the box plants over the last 3, 4 years, has definitely contributed to our margin improvement.
George L. Staphos - BofA Merrill Lynch, Research Division: Right. I was holding price counts as well in the question. So it sounds like it's not so much incremental mix you're getting from the box plant investment, it's more the operating leverage that's allowing you because you have more ability to grow the business. Where do you...?
Paul T. Stecko: It's actually both.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. So -- and would you say it's split evenly or more the volume growth or more the mix effect, Paul?
Paul T. Stecko: We're not giving up the secret recipe.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. The other question I had, and I'll turn it over, where do you have the most concern about cost pressure over the next 2 to 3 years? Which line item or which factors should we be observing most closely in terms of potential erosion of the margin progress you've had over the last number of years?
Paul T. Stecko: George, regarding that question. Just general inflation. Obviously, the energy, wood cost type of impacts. But again, just general. Except for, of course, the big wildcard that everybody knows about is OCC. And if the world economy expands at a more significant rate than it has in the last year or 2, we believe that OCC is going to come under cost pressure. And again, we're advantaged in that regard because we are among the lowest users of OCC in the industry.
Operator: Our next question comes from Alex Ovshey with Goldman Sachs.
Alex Ovshey - Goldman Sachs Group Inc., Research Division: As you think about your existing mill assets in the containerboard side and your ability to increase production through productivity initiatives as you look over the next 12 months, where do you think you can grow your production on the containerboard side through productivity?
Mark W. Kowlzan: We've been stating that the 1% creep is a normal creep for us based on, again, a normal CapEx spend. As we've said for many years now, it depends on how much capital you want to spend. But 1% is a good number to expect for a creep.
Alex Ovshey - Goldman Sachs Group Inc., Research Division: That's helpful, mark. And then, clearly, you're busy with the Boise acquisition, but as you think about the potential to add incremental converting capacity and box plants, can you talk about what the pipeline looks like for you on the box plant side?
Mark W. Kowlzan: Yes. we're -- we will continue to look for opportunities wherever they happen to be. And if they fit our model correctly, we'll pursue those acquisitions. Going forward, we're not going to deviate much from the plan that we've had going the past few years.
Richard B. West: Yes, we want to get to over 90% vertically integrated. And if we can get there with strictly internal growth, that would be fine. And -- but it will probably take some more box plant acquisitions to do it.
Operator: Our next question comes from Scott Gaffner with Barclays.
Scott L. Gaffner - Barclays Capital, Research Division: So as the economy shifts more towards e-commerce, especially in the fourth quarter, is there anything that you're changing as far as your production or inventory plans in the fourth quarter to sort of accommodate that shift to more of an e-commerce market versus traditional brick-and-mortar?
Mark W. Kowlzan: No. Again, no plans on changing anything. Just over the last 5 or 6 years, we've just definitely seen the benefit of the e-commerce during the holiday season.
Paul T. Stecko: December used to be -- used to be the tough month or a half-decent month. Decembers have been pretty constant over the last 5 years. The only thing we do, do -- and it's nothing new, we try to build a little inventory in the fourth quarter to support our mill outages which are stacked into the first quarter. But that's not a change, we've done that for the last 15 years.
Scott L. Gaffner - Barclays Capital, Research Division: Okay. And -- I mean, there were a couple of articles on the Wall Street Journal about Walmart trying to buy more American goods. And I think part of your thesis on it, the North American containerboard market has always been on-shoring of U.S. manufacturing. Anything you can share on those 2 fronts? Anything you're seeing that maybe we're not seeing as far as return the manufacturing to North America?
Paul T. Stecko: This is Paul again. I'll comment on that. Yes, I read the same things you read and so I don't think we're seeing a lot more than you might be seeing in terms of a macro look at this on-shoring phenomena as it unfolds. I will tell you though, from my perspective, if I went back -- I've got to go back 10 years now, that Tom Hassfurther would be running in about every 3 days telling me that this customer moved to China. And this customer moved his business to Mexico. I can't remember the last time he came in and told me somebody moved to China, and it's very infrequently that he tells me somebody moved to Mexico. So there's still a little movement to Mexico but not much. And Tom, you want to comment on that a little further? Because I think it's an important point that the trend has definitely stopped. The question is, how strong will it reverse itself? So I'll let you, since are talking to 70 box plants, amplify on that.
Thomas A. Hassfurther: Okay, Paul. I'd just like to add that, what Paul said is actually correct. The exodus from the country has essentially stopped. We don't see that much at all anymore. And I think that Walmart's initiative that they just announced buy -- to purchase more from American companies, I think coincides with the fact that a lot of American companies have become much more competitive worldwide. And with the labor rates going up in places like China dramatically, it's become more difficult to do business there, the costs have gone up, et cetera, that's driving Walmart's initiative. I think it's altruistic to say I'm going to buy from America, and that's a good thing to do but also, they're only going to do it if it's really competitive. And so I think that's a very good indicator that Walmart sees American manufacturing becoming much more competitive.
Operator: Our next question comes from Phil Ng with Jefferies.
Philip Ng - Jefferies LLC, Research Division: Just wanted to get a read on demand trend. I know you said the first few days of October was up 4% or so. Seems like a modest deceleration from Q2 trends. I just don't want to read too much into it. I just wanted to get a pulse on what you're seeing from the demand side and what your customers are saying?
Mark W. Kowlzan: I would say, Phil, that our demand has remained fairly steady. It's hard to read in much to this number that we have so far in October just because October is a 23-day month. And we don't have a very good sampling for just 8 days. It's hard to indicate what's going to go on. And we came out of a very strong Q2 and a very strong September as well.
Philip Ng - Jefferies LLC, Research Division: Okay. So it just sounds like business as usual. And in terms of your fiber cost, you talked about how wood cost ticked up. From a weather standpoint, things have subsided a little bit. And I think you mentioned that you expect wood prices to flatten out. Is there any room for it to come -- fall down, decline x the seasonality component just because it does seem like the headwind that you saw in 3Q is subsiding a bit here?
Mark W. Kowlzan: It's really sensitive to weather patterns. And again, if we ended up with a warm, dry winter period, you'd see a lot less pressure, and basically, a falling off on pricing. If we end up with a cold, wet weather, then, it's a different story. So again, it's pretty much just weather-dependent.
Philip Ng - Jefferies LLC, Research Division: Got you. And just one last, bigger-picture question. You guys were pretty much running flat-out for the last few years and your box shipments has obviously outpaced the broader market. Has that limited your ability to grow on the box side? It certainly doesn't seem like it, but with the potential incremental capacity you're getting from Boise, would that allow you to sustain that growth profile or potentially accelerate it going forward?
Mark W. Kowlzan: As we've said for the last year or 2, in order to support the domestic growth, we're going to rationalize any of the lower-value export tons, and we've done just that. And so as time has gone on, we've supplied the North American footprint growth with the tons that came out of the exports.
Operator: Our next question comes from Al Kabili with Macquarie.
Albert T. Kabili - Macquarie Research: Just a question on the growth. Can you just kind of help us parse out the type of growth you're seeing in these sort of larger national accounts versus more of the -- your traditional strength in the smaller regional producers?
Thomas A. Hassfurther: Al, this is Tom. We don't get into lots of detail about individual segments or anything like that. I'll just say that our growth has been consistent, spread out over thousands of customers, and of course, we do business with large customers, as well as a very small ones. And it's all about the value we deliver to those customers, and that's what helps drive our demand.
Richard B. West: Basically, we consider that marketing data which is company confidential. And we don't share it with you because then we'll have to share it with competitors, and we don't do that.
Albert T. Kabili - Macquarie Research: Okay. All right, I appreciate that. I guess, second question is just on mix. Is there -- certainly, the dynamic of less exports helps. Is there anything else on mix that's improving or is it just really that dynamic?
Mark W. Kowlzan: I think it's more just that dynamic, Al.
Albert T. Kabili - Macquarie Research: Okay. And then just a housekeeping question for Rick. Amortization expense going up sequentially on maintenance outages. Can you just help us what that sequential headwind, if you will, is?
Richard B. West: About $0.02 a share from 3Q to 4Q [ph].
Albert T. Kabili - Macquarie Research: $0.02 a share. Okay, got it.
Mark W. Kowlzan: When he says $0.02 a share, that's the increase. Not the total. So it's gone from roughly $0.04 to $0.06.
Operator: Our next question comes from Chris Manuel from Wells Fargo Securities.
Gabe S. Hajde - Wells Fargo Securities, LLC, Research Division: Gabe Hajde sitting in for Chris. Question about utilization across your downstream box plant assets. Can you talk about maybe regionally or maybe end markets where you guys are particularly tight and could see investment dollars over the next 12, 24 months?
Mark W. Kowlzan: No, we can't comment on that.
Operator: Our next question comes from Carly Mattson with Goldman Sachs.
Carly Mattson - Goldman Sachs Group Inc., Research Division: Could you talk to any update on the anticipated timing for the public debt financing portion of the acquisition, given the shelf that was filed this morning?
Mark W. Kowlzan: We have no comment at this time.
Operator: Our next question comes from Mark Wilde with Deutsche Bank.
Mark Wilde - Deutsche Bank AG, Research Division: Kind of a follow-on question, I think, mainly for Tom Hassfurther. If we look at the industry box shipments, year-to-date, they're essentially flat. The economy is up a bit. So it just kind of raises the question, Tom, of what you're seeing in terms of puts-and-takes, in terms of where the industry might actually be losing volume. Is there some demand destruction which might have taken place? If we walk through a big box store like a Costco, you see a lot more use of shrink wraps, it seems like, these days. At the same time, we know that e-commerce is using more boxes. So can you just help us kind of reconcile, kind of, those puts-and-takes in terms of box demand, and why you think the industry, as a whole, is flat this year when there's some growth in the economy?
Thomas A. Hassfurther: Well, Mark, you got a lot of different topics you're talking about there. I think you pretty much rationalized the puts-and-takes, quite frankly. You've got industries moving in lots of different directions. If they can do stretch wrap and flip sheets, that's what they'll do, as opposed to a corrugated box. At the same time, you've got the whole e-commerce side of the business, which is significantly different. And I think you've got small companies that are really upstarts. And their demand is in boxes, start to stock boxes and then moves on to regular containers. I think that you'll got the ag business that, in some cases, is doing more bulk than they did before, which can reduce some demand. But on the other hand, you've got organic growers that use more. So it kind of just goes back and forth, and you can go in all of these various markets and come up with scenarios of pluses and minuses. But at the end of the day, it is what it is and we've got the market we've got. And I think that at times, the FBA numbers have tracked GDP but have gotten away from that for quite some time. And it's a -- and I think at any given point in time, you can probably find the pluses and minuses to rationalize those numbers, but it's very complex.
Mark W. Kowlzan: And I think the more important point is that I think the biggest plus that the industry would need for the next decade is what we just talked about with the previous caller, more on-shoring of business -- and where -- the use of box in this country as opposed to coming from another country. Again, and long-term, we're fully -- we're pretty optimistic that that's going to occur over the next decade for a lot of reasons. One of which is the national debt is best fixed by economic growth. And I think that's an imperative for this country.
Operator: Our next question comes from George Staphos with Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: Two quick ones. First of all, Paul, Mark, when you look at the energy projects now, I guess, 2 years from when they came online, what are your observations? What have been the learnings from this versus your initial expectations, set you up better for the next number of years? And then shorter term, as we're sort of penciling out production for the fourth quarter, would it be somewhere around 650,000 tons, in that ballpark, when we think about the shipping days and the outages at Filer City?
Thomas A. Hassfurther: George, as far as the energy projects go, again, they're delivering extremely well, both in Counce and Valdosta, and performing as designed. So we're extremely pleased with the results. As far as what we expect for tons, we expect that Filer is going to impact 7,000 tons. And if you look at the third quarter, we're somewhere down at 660,000-ton area.
Mark W. Kowlzan: And that number could move 20,000 tons either way easily depending on how we run. So we don't normally give a production forecast for the next quarter, and we're not going to start.
Operator: Our next question comes from Chip Dillon with Vertical Research.
Chip A. Dillon - Vertical Research Partners, LLC: Have you any comment or have you seen any impact in your doings with the converted capacity we've been reading about? My understanding is that some of these mills don't even call their output containerboard, they call it packaging grades. But I just thought, if you got any broad comment about either the conversions or maybe even the company that recently announced the Midwest Mill, and how they fit sort of in the marketplace, and as a competitor to you?
Paul T. Stecko: Let me take that one, Chip. We're not going to call out any particular companies. But I don't think it's any secret that some of the conversion tons are not the best quality, but some are good. And other than that, we would just say that the variety, in terms of quality, is greater with some of this new stuff than you would get with the existing capacity at a good integrated mill. And then, as the OCC supply gets pressured, as you know, that can have a deleterious effect on quality because some -- most of the conversions that have been talked about are 100% recycled. And -- but other -- further than that, we're not going to comment any further than that.
Operator: [Operator Instructions]
Mark W. Kowlzan: Seeing that there are no more questions, I want to thank everybody for joining us today, and look forward to seeing you on the annual call in January. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.